Operator: Good morning, ladies and gentlemen, and welcome to the STEP Energy Services Q2 2025 Conference Call and webcast. [Operator Instructions] This call is being recorded on Thursday, August 7, 2025. I would now like to turn the conference over to Steve Glanville. Please go ahead.
Stephen Glanville: Thank you, and good morning. We welcome you to our Q2 2025 conference call where we will review our second quarter performance and discuss our perspectives for the remainder of the year. To begin, I'll hand things over to our Chief Financial Officer, Klaas Deemter who will walk you through the financial highlights for Q2. After that, I'll share insights into our operational performance during the second quarter and touch on our expectations as we continue through 2025. Following his remarks, we'll open the floor to your questions. Over to you, Klaas.
Klaas Deemter: Thanks, Steve, and good morning, everyone. My comments today will include forward-looking statements regarding STEP's future results and prospects. Please note that these forward-looking statements are subject to a number of known and unknown risks and uncertainties that could cause our results to differ materially from our expectations. For more information on the forward-looking statements and these risk factors, please refer to our SEDAR+ filings for this quarter as well as our 2024 AIF. Finally, please note that all numbers are in Canadian dollars and around where possible. STEP's Q2 consolidated revenues decreased to $228 million from the prior quarter's revenue of $308 million. This large quarter-over-quarter swing is typical for the second quarter as the industry deals with spring breakup. This transition from winter to spring results in soft ground conditions as its, limiting the ability of heavy equipment to access sites. We're seeing less impact than we have in the past due to the large pads we work on, but there is still nonetheless an impact. This quarter was in line with last year's Q2 revenues of $231 million. Q2 consolidated revenue included no revenue from the U.S. fracturing terminated operations compared to $14 million included in the prior quarter and $23 million included in Q2 of last year. As a result of the decision to terminate our U.S. fracturing operations, STEP expanded the definition of adjusted EBITDA in Q1 of 2025 to exclude the results from these operations to provide clarity on the company's normal course business activities. Therefore, please note that adjusted EBITDA from previous periods has also been updated to comply with this definition. Adjusted EBITDA for the quarter came in at $35 million or a 15% margin compared with $59 million or 19% margin in the prior quarter and $42 million or an 18% margin in Q2 of the prior year. STEP had a net income of $6 million or $0.08 per diluted share in Q2 of this year compared to $24 million or $0.33 per diluted share in the prior quarter. Included in Q2 2025 net income was a net loss from terminated operations of $5 million compared to a $4 million net loss from terminated operations in the prior quarter. Prior year Q2 earnings were $10 million or $0.14 per diluted share, which also included $9 million of loss from the terminated operations. During the quarter, we had free cash flow of $17 million compared to $32 million in the prior quarter and $20 million in Q2 of last year. In the quarter, we spent about $14 million on capital expenditures. This was made up of $6 million for sustaining capital, $7 million for optimization capital and $1 million for right-of-use asset additions. In conjunction with the terminated operations of the U.S. fracturing CGU, the company has a plan to sell some of those assets by the end of 2025. The company has $15 million of assets held for sale at the end of the quarter, which includes inventory and equipment. We purchased 166,000 shares during the second quarter under our NCIB and no additional purchases have been made subsequent to the quarter end. We've slowed down on the NCIB a bit given some of the second half uncertainty, focusing instead on reducing our balance sheet leverage. We're extremely pleased that we ended the quarter with net debt of $44 million, which is down from approximately $85 million in the prior quarter. I'll now turn it back to Steve for his comments on the operations and outlook.
Stephen Glanville: Thanks, Klaas. You've likely seen our latest results and operational highlights in the MD&A. I'll briefly address key Q2 achievements and share our outlook for the rest of the year. This past quarter truly showcased STEP's dedication to operational excellence, innovation and adaptability. As Klaas had mentioned, revenue for this quarter closely matched last year's second quarter despite some significant shifts in our business and the broader energy services landscape. We maintained high utilization levels and strong client relationships, especially with large-scale operators in both Canada and in the U.S. Our North American coiled tubing segment operated 21 units throughout the quarter. We have seen continued growth in the adoption of our new technology, which we call Coil Plus for extended lateral mills. And in the U.S., we are nearing our 100th well, and we are preparing to execute our first program for a Canadian client in the next several weeks. This service line has become a key differentiator for STEP, giving clients the confidence to design and drill longer laterals, access more stimulated rock volume and reach total depth during mill operations. No revenue was generated from U.S. fracturing operations as we continue the process of winding down the CGU. As mentioned in our Q1 conference call, this was a tough but necessary decision to ensure STEP's resources are focused where we can achieve the greatest returns for our company and ultimately, our shareholders. The redeployment and sale of equipment are underway. This transition brought some short-term challenges, but we're moving forward with a renewed focus on our U.S. business. Turning now to our Canadian fracturing business. Investment in technology and fleet optimization continue to set us apart. Notably, our trial of the NGx, which is Canada's first 100% natural gas reciprocating engine designed for fully natural gas-powered fracturing operations has been met with positive client response. STEP's natural gas strategy is over a decade in the making. From the start, we built our fleet with fuel flexibility in mind, introducing the Tier 2 dual fuel systems back in 2015, followed by a Tier 4 DGB technology. Today, we are leading the industry again with the introduction of NGx which is a 3,600-horsepower purpose-built pump integrated with STEP's proprietary control and automation platform. It delivers twice the pumping capacity of a conventional unit with a smaller footprint and operates seamlessly alongside our dual fuel fleet, achieving full fleet diesel displacement rates of up to 90% in early field trials. With lower capital requirements and reduced cost per horsepower, NGx is scalable and supports the level of fuel customization demanded by more of our large clients. We are confident in the performance of the NGx pump trial and have received Board approval to move forward with the purchase of 4 additional NGx pumps. These are expected to be available for commercial deployment in Q1 of 2026. Fuel flexibility is becoming increasingly important for operators. When clients can use their own fuel gas, the savings are significant. But we also know that not every site is the same. That is why our approach is customizable. And when combined with our electric backside assets, a full natural gas-powered frac fleet can displace upwards of 95% of our clients' diesel consumption with natural gas. Looking ahead, we believe the future of fracturing in Canada will be defined by efficiency, reliability and adaptability solutions tailored to each site's infrastructure and fuel availability. STEP is well positioned to deliver high-performing, cost-effective completions now and into the future. Looking at the broad macro environment and outlook, the current landscape in energy services presents both challenges and opportunities. Fluctuating commodity prices continue to create uncertainty regarding our clients' drilling activities in the later half of this year, with some clients considering capital deferment into 2026. Additionally, advances in completions driven by performance enhancements have enabled producers to meet production objectives while reducing drilling programs and capital expenditures. This has further constrained demand in an oversupplied market. In response, we are seeing service prices come down, which places additional pressure on already compressed margins. While inflation and tariffs continue to put pressure on our cost structure, one positive development worth highlighting is the recent announcement of tariff relief for proppant imports. This outcome was made possible through our collaboration with industry peers and the strong advocacy efforts led by our Energy Services Association, which is Enserva and CAOEC. We approach the remainder of 2025 with a sense of cautious optimism. While we are anticipating flat to down sequential revenues, this is largely due to the shift from more STEP supplied sand in Q2 to more client supplied sand in Q3. Nonetheless, we recognize that reduced pricing requires ongoing cost vigilance to preserve margins. Efforts are ongoing to fill remaining capacity in the later half of the year. And in Canada, we are seeing several clients move projects from Q1 next year into Q4 of this year. Fourth quarter pricing is typically a bit lower, but it allows -- it also allows clients to capitalize on efficiencies gained by level loading their schedules throughout the year. We are excited by the recent commissioning of Canada's first large-scale LNG export facility, which demonstrates promising long-term growth potential for our industry. This is a step change in demand. And when we considered alongside the growing demand of power across multiple industries, many analysts are predicting the activity in the Montney and the Duvernay to increase from 2025 up to 2030. In a recent analyst report, it called for an additional 400 wells drilled annually over that period, which is nearly a 40% increase from today. STEP is exceptionally well positioned to capture this opportunity. We currently have an approximately 30% market share in the Montney, and we expect that our NGx pumps will drive that number higher. We believe that a Canadian asset base -- or that the Canadian asset base in the basin today could capture this additional activity with only a marginal increase in incremental capacity. We have become incredibly efficient at what we do. Operational enhancements to our fracturing programs such as simul-frac or even trimul-frac have significantly improved the efficiencies and reduced cost of fracturing project. Today, our team routinely achieves upwards of 20 or even 21 hours of pumping per day with the number of stages completed daily having increased significantly over the past decade. These gains reflect the discipline, innovation and executional excellence that continue to differentiate STEP in the marketplace. Before I turn the call back to the operator, I want to extend my thanks to our clients and shareholders for their trust. And most importantly, I would like to share how much I appreciate the tireless dedication of our professionals. The first half of the year has been busy and our professionals show up consistently exceeding clients' expectations and delivering strong results for our shareholders. I am proud of our continued focus on safety, operating efficiencies and excellence, which helped to make Q2 another successful quarter. Operator, we are now ready to take questions.
Operator: And your first question comes from the line of Waqar Syed from ATB Capital Markets.
Waqar Mustafa Syed: A couple of questions. Number one, for your -- for Q3, you mentioned that the clients supply sand is going to increase. Steve, is that because your customer base has changed? Or is it that the same customer -- the mix is still the same, but the behavior -- customer behavior is changing? And if that is the case, why do you think that is?
Stephen Glanville: Waqar, thanks for the question. Yes, what we're seeing is just a shift in clients. So it has nothing to do with that approach whatsoever. But as you know, there are some clients that go direct to the sand suppliers. So we're just seeing a bit of that in the back half of this year with some new plants that we've been able to achieve.
Waqar Mustafa Syed: Okay. And you mentioned that you may be considering buying 4 pumps, NGx pumps. How does that impact the CapEx number for 2025?
Klaas Deemter: It's a slight increase, Waqar, for 2025. I think it's possible $2 million increase roughly. Yes, there's some reallocation of capital. We had some capital set aside kind of in the event that we would do something like this. We increased them marginally. And then the structure of the contract allows us to make a final payment in 2026. So there's also an advance on our 2026 capital program.
Stephen Glanville: And I'll just add on to that, like we've had tremendous success with the NGx pump so far. We showcased it here in Calgary in June. And currently, we've received over kind of 600 hours of pumping time with it. And we're extremely happy with the performance, and our clients are liking the savings.
Waqar Mustafa Syed: Great. And just in terms of Q3 numbers, a lot of moving parts in your guidance. Do you think directionally, EBITDA for Q3 could be up versus Q2?
Klaas Deemter: Yes. Like we said in our release, the margins are higher on jobs where we don't supply sand. Sand is typically a low margin pass- through. So it does affect the percentages. So we should see a sequential increase in our EBITDA.
Operator: Your next question comes from the line of Josef Schachter from Schachter Energy Research.
Josef I. Schachter: First one for Klaas. The debt load, of course, coming down to $43.9 million. And you have in here the $14.9 million of assets held for resale. Do you expect that -- the sale to go through in this year? And will you use that number to knock down your debt? Or would you be looking at more NCIB or increasing CapEx? How do you see using the money? And when will -- when do you expect that $14.9 million to come in?
Klaas Deemter: So our ops teams are kind of the guys who are in charge of these assets. They're kind of working through a process with a few different buyers. There's some -- there's been decent interest in those assets. We do expect that those assets will be sold before the end of the year. As far as the proceeds of that goes, like immediately, we'll just pay down debt and then we'll evaluate what the best choice of options are. Unlikely that we would see any significant increase to our capital program for this year. So it will just kind of put some money in the bank for next year. And then from an NCIB perspective, if we see an opportunity to participate there in a way that makes sense for the business, we'll do that.
Josef I. Schachter: Okay. Next one for me. You go in here and talk about the increased market penetration with STEPS Coil+ with string technology. Can you walk a layman through that?
Stephen Glanville: Yes. I'll maybe take that. We'll let Klaas deal with the finances. -- kidding cost. So Joseph, it's pretty simple. like as we've seen these extended reach wells get out to -- like in Canada, we're seeing depths of 9,600 meters. And the challenge with coil has been -- it's like pushing a rope. It only goes so far and then it bends. Our technology that we've developed is it adds basically a vibration technology midstream and allows you to get out to these extended reach wells. Like we said, we've done over 100 in the U.S., and it's really been a differentiator for us. And as we see the Permian, particularly drilling kind of Tier 2 acreage, our operators are still getting amazing well production other Tier 2 acreage. But -- and the reason for that is they're drilling these long laterals up to 4-mile laterals. So this is a really, really huge advantage for us. We like this technology. And it -- I think it really what it opens up to is the drilling side of these long laterals has never been the issue. It's been how do you complete these. And so having this technology just opens up our clients to the ability to drill these longer wells. And just to be clear, it's actually connecting 2 strings together with an agitator, and that's what makes it possible to hit these extended laterals.
Josef I. Schachter: Do you have Canadian customers wanting to use this later this year or in 2026 that you can see this being a higher-margin product for Canada?
Stephen Glanville: Yes. We'll be doing our first job here in Canada in less than 2 weeks. And I think the early adopters to this are even starting to think long term on their well programs. So I really believe that this will open up some additional work for us. And we've always been the technology leader in the coiled tubing space, and this just adds a bit more of a -- some tools to our toolkit.
Operator: [Operator Instructions] And as there are no further questions, I will return the call to Steve Glanville. You may proceed.
Stephen Glanville: Yes. Thank you very much, and appreciate everyone for joining us for our Q2 conference call. We will be having a conference call in November when we report our Q3 numbers. I wish everybody an enjoyable summer. Thank you very much.
Operator: This now concludes today's conference call. Thank you all for attending. You may now disconnect.